Operator: Thank you for standing-by, this is the conference operator. Welcome to Broadmark Realty Capital First Quarter 2020 Earnings Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Steven [Indiscernible], Investor Relations. Please go ahead sir.
Unidentified Company Representative: Good afternoon. Thank you for joining us today for Broadmark Realty Capital's first quarter 2020 earnings conference call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional detail on our results which is available in the Investor section on our website at www.broadmark.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions, and beliefs, as well as information available to us at this time and speak only as of the date they are made and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to comparable GAAP financial measures are contained in our earnings release and filings with the SEC. This afternoon’s conference call is hosted by Broadmark's Chief Executive Officer, Jeff Pyatt and Chief Financial Officer, David Schneider. Management will make some prepared comments after which we'll open up the call to your questions. Now, I'll turn the call over to Jeff.
Jeff Pyatt: Thank you, Steve, and welcome to our first quarter 2020 earnings calls. This afternoon I'll begin with an overview of market conditions and then discuss why we believe Broadmark is well positioned in the current environment. Then I'll turn the call over to David to provide additional detail on our financial results and performance, loan portfolio and balance sheet. When David is finished, we'll open up the call for your questions. Let me begin by saying that our thoughts are with all of those affected by the COVID-19 crisis. It's also important to thank the entire Broadmark team for their efforts. Seattle was one of the first parts of the country to be affected by the virus, and I am truly proud of our team's commitment, dedication and perseverance. Our first quarter 2020 results were solid, largely preceding the most severe impacts of the COVID-19 pandemic. Our origination volumes were more than $107 million, representing a significant acceleration from the fourth quarter. We also launched our Private REIT this quarter, which has a new unique source of capital and growth to our platform. Given the extraordinary circumstances we're facing as a country and as a company, I want to give some perspective on our industry and Broadmark’s place in it. During the Great Recession, many developers and builders lost their businesses because their lenders lack the adequate liquidity to keep their commitments. Today like then many construction lenders are unable to fund their commitments because the outside capital they rely on to fund their loan book has evaporated. As a result, developers through no fault of their own are unable to obtain funding to complete their projects. Unlike many other lenders, Broadmark’s strong cash reserves ensure that our borrowers can complete their projects and get it to market as quickly as current circumstances allow. In fact, we are already hearing from competitors’ clients, asking if we can take over stalled projects because of our reputation as a lender who upholds its commitments. Furthermore, we are actively looking at opportunities to potentially add loan portfolios at attractive rates as our peers have been forced to pare back. Needless to say, we would ensure that any potential loans we acquire would satisfy our proven and prudent funding standards. We have always operated conservatively because we never wanted to be in a position where a period of temporary market turmoil could permanently impair our business. The business of construction lending will not go away, but we believe one of the results of this market disruption as that many of our competitors have struggled and may even go out of business leaving Broadmark in a better competitive position supported by a reputation, uncertainty of execution. This is not to say there won't be challenges, there will be. The unprecedented COVID-19 crisis has impacted construction and permitting activity across the country, including government mandated construction halts in certain states. As the result our borrowers, again through no fault of their own have experienced project delays and our loans which are tied to pre-approved strictly monitored construction schedules that were established pre-COVID-19 may experience a technical default. At this time, I think it's important to discuss what defaults mean for Broadmark because it's easy to misunderstand them, if you are not familiar with the type of construction lending we do. I'll start with what defaults or not. Defaults or not an immediate or permanent loss of principle. This is not the same as a person defaulting on their car loan or their home mortgage, where the bank has to write it off, take a steep loss by seizing and reselling the asset. The builders that we lend to tend to be small and they have significant equity in their projects. Remember that we don't lend above a 65% loan to value ratio period. So the builder is putting up a substantial amount of capital. On top of that, our loans require a personal guarantee, so the borrower has significant incentives and financial alignment to work with us to cure any issues. I want to emphasize the most defaults are resolved without us ever having to take over the project. Specifically, in the past three years, we have experienced 62 incidents of default and only 9% resulted in foreclosure. Funds going to default more often than not, they come out of default. And Broadmark captures its principle, interest and penalties just over a longer time horizon. It's a way for us to legally exercise our right as the lender to protect our claims against the collateral. So a default for Broadmark is a way to engage proactively with our borrowers and work for the successful completion of a project. And maybe on a slightly different timeline than when we underwrote the loan, as long as it continues to satisfy our underwriting criteria, we would work with borrower. On top of this proven approach helping to protect our capital, it's just good business, builders face obstacles and delays all the time. Especially in recent weeks when permitting and inspection offices have been closed and states and municipalities have halted construction. Our view is that if we can protect our capital now, while still maintaining our good relationships with borrowers, they will provide both near and longer-term solutions in the future. Borrowers will remember which lender has funded their commitments or which ones raised their rates to punitive levels at a time when many builders simply didn't have a choice of whether or not to pause construction. We want to continue to build on our nearly 10-year reputation of being the lender that helped them see the project for the completion so that when they get started on their next project, we are going to be the first ones they call. This is why historically approximately two-thirds of our customers have been repeat business. So what can we do to resolve defaults when they occur? And we have a toolbox full of solutions. We can defer payments and setup a plan to bring them back to current over time. We can help them refinance. We can put a receiver in place. We can work with the borrower to find options to sell the project in a native complete state, it would help satisfy their obligations to us. We can get a deed in lieu of foreclosure. If we've ruled out all other options, then we would foreclose on a project. For reference of the $2.2 billion of loans we originated in our nearly 10-year history. We have foreclosed on only 12 of the more than 1,000 loans we have originated and they have limited our principal losses on those loans to only $400,000 over those 10 years. For a perspective, these losses excluded the nearly $7 million in income Broadmark recognized during the life of those loans. Lastly, if we do need to take over a project and finish it, we have the resources to execute on that. Over the years, we've built relationships with numerous contractors and our strong liquidity, means that we will not be forced to sell assets quickly at fire sale prices. We believe providing this perspective on defaults demonstrates how we are different from other lenders. Our default rate is a snapshot in time, but our ability to address defaults will ensure Broadmark is well positioned for success. We have managed through periods of higher defaults in the past and we will continue to do so. Further our liquidity position gives us comfort that we cannot only withstand this period of market stress, but ultimately take advantage of opportunities as appropriate. Considering how much things have changed over the past several weeks, we want to give an update on our operations post quarter end. First and foremost, we have not stopped originations. We continue to see ample opportunities to lend at attractive yields on high quality collateral and most importantly, we have the liquidity to do so. Between March 31 and May 8, we've closed on four additional loans and our pipeline remained significant, within a range of $200 million to $250 million. Our loan payoffs in April were slow as expected. The good news is that we have already begun to see signs of improvement. Well, there've been some incremental defaults since quarter end. Some of our loans that went into default in March have since emerged and our May payoffs appear to be improving. We've had good and consistent communication with our borrowers, whereas anxious to get their projects restarted and completed as we are. The mortgage and refinance markets also appear to be stabilizing and the residential markets in the States that we operate in continue to be strong. We expect our projects to be completed and sold or refinanced, although it may just take some additional time. Of course, these emerging signs of improvement will also depend on the past, the COVID-19 situation takes. The COVID-19 pandemic has created period of unprecedented dislocation and no one is able to predict what the world will look like six months or 12 months from now. Because we sit here in May, much of the country has been completely shut down for nearly two full months with openings just getting underway. We have seen significant turmoil in the economy and financial markets and our business has been resilient but not immune. While we currently see emerging signs with respect to certain States reopening plans, we don't know for certain what the future holds or how long a recovery will take. To reflect these significant uncertainties, our Board adjusted our monthly dividend for the month of April, maintain this rate in May. We are confident in our broader strategy and we want to be as well positioned as possible on the other side of this crisis. Finally, as a reminder, the management team at Broadmark is uniquely aligned with you, as we are internally managed and management owns approximately 5% of the outstanding shares. I'll now turn it over to David, who will review our financial results in more detail.
David Schneider: Thanks, Jeff, and good afternoon, everyone. As a reminder, the first quarter 2020 was our first full quarter as a public company. Financial results for any comparable periods prior to November 15, 2019 are presented on a pro forma basis and include the financials of the four Broadmark lending funds that combined to form Broadmark Realty Capital. Starting with our operating results, which are detailed on Slide 5 of our earnings presentation. For the first quarter of 2020, we reported total revenue of $31.8 million and net income of $27.3 million. On a per share basis, this reflects a GAAP net income of approximately $0.21 per diluted common share. Adjusting for the impact of non-recurring transaction costs and other non-cash items, our core earnings for the first quarter were $27.5 million or $0.21 per diluted common share. Interest income on our loans in the first quarter was $24.6 million and fee income was $7.2 million. With regard to origination volumes, which are presented on Slide 6 of the earnings presentation. In the first quarter, we originated 21 loans with a total face value of $107 million, this compares to $112 million of originations for the first quarter of 2019. While originations were strong for the quarter as a whole, COVID-19 did have an impact on March originations as heightened market uncertainty and government ordered construction shutdowns took it back. We currently have a pipeline of opportunities ranging from $200 million to $250 million. As we have previously mentioned, the full earnings benefit of originations in any given quarter will be realized over time. As our accounting treatment requires that origination fees be recognized over the life of the loan. Now turning to our balance sheet. I would like to briefly address the topic of defaults from an accounting perspective. Every loan in default status has been evaluated for potential losses and we have recorded aggregate estimated losses on these loans of $7.2 million, as of March 31, 2020. For context, these estimated losses represent less than 5% of the principal outstanding on loans and default status and specifically relate to five loans out of our current portfolio of 218 loans. To date, we have recognized more than $20 million in revenue on the loans currently in default status and we generally expect positive economic outcomes upon exit. This further supports Jeff's earlier comments on management of defaults and that our underwriting model and our business plan are operating effectively. In addition, as detailed on Slide 9 in the earnings presentation, we had zero debt and $258.4 million of cash on our balance sheet as of March 31, 2020. We believe our liquidity positions us well as we work through our current pipeline. In fact, our pipeline of opportunities currently exceeds our available capital and we are looking for sources of capital to execute on strategic opportunities that has and continue to be presented to us. For longer term capital efficiency and cash management, we continue to evaluate the most appropriate balance, which may include a modestly sized working capital credit facility. While we have historically operated without debt and funded our unfunded commitments from payoffs, our finance team spends a great amount of time watching the residential housing markets and analyzing our pipeline of loans and our unfunded commitments relative to anticipated payoffs. We would look to add an appropriately sized credit facility by the end of 2020 assuming market conditions remain conducive. Again, we do not plan to run our business at a high level of leverage, but we want to be positioned to efficiently use our available capital to meet the significant opportunities and dislocations we are seeing in the market. In March, as previously announced, we launched Broadmark Private REIT. This private vehicle will offer an alternative way to invest in the Broadmark platform, diversifying and enhancing our capital sources. The private REIT participated in seven loans for a total participation of $8.7 million for the one month that it was active in the first quarter. As we expected capital raising, in the private REIT was slow during April. But we expect the pace to slowly improve as long as the markets continue to stabilize as we've seen in recent weeks. Now, I'd like to turn the call back to Jeff for a few closing comments.
Jeff Pyatt: Thanks, David. To recap, we have originated over $110 million of loans year-to-date. We have plenty of opportunities for growth and as of March, we now have our Private REIT raising capital and participating in Broadmark loans. We have the tools and the expertise to handle this challenging period and we believe we will emerge from this stronger than ever. This completes our prepared remarks. We will now open up the line for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Tim Hayes with B. Riley FBR. Please go ahead, sir.
Tim Hayes: Good afternoon, Jeff and David, thanks for taking my questions. Hope you're both doing well. My first one here, can you expand a little bit more on some of these strategic opportunities you are seeing, whether you can maybe size some of these potential portfolio or asset acquisitions that have come your way, what the collateral type looks like and really how serious you are in evaluating these types of initiatives at kind of given the uncertainty we still face.
Jeff Pyatt: David, do you want to take that, please?
Tim Hayes: Nice to hear, David.
David Schneider: Yes. Hi, Tim. Thanks for your questions. So we’ve been getting a lot of inbound calls. And to be clear, if you were to look at any strategic transaction, we know how to stay in our lane. We're not going to be going and looking at it collateral that we're not experienced with. It would be looking at competitors’ portfolios, other folks that we're directly competing with either in our region or other regions. Opportunities to potentially expand into other regions, we have less of a presence right now. But it would always be something that we're familiar with. If we're going to take on servicing of another loan portfolio that was underwritten by another firm, which is not historically something we've done. We're going to do our due diligence. We're going to make sure it's loans that we're familiar with, most likely it would be borrowers that we're familiar with. And that would just make it a much cleaner due diligence process that we'd feel comfortable with. In terms of size, it's been a variety. But we've seen whole portfolios, we've seen features of portfolios and we're going to look at them all. We're open to the opportunities. I think we're in a unique position of strength where we can actually execute on some of these opportunities if they are the right ones that are presented to us.
Tim Hayes: Okay. Understood. Thanks for the color there. And then switching gears, I guess talking more on the defaults here. Where these all – just a little bit more context here, where these all borrowers that were expecting to get takeout financing or sell properties in the first quarter, that all of a sudden had those options drift away from them? Or where these projects in different stages of development?
David Schneider: I'll take a stab and Jeff, feel free to jump in. I would say the overwhelming majority is our maturity developed, meaning that they were coming up to the end of the term, they were expecting to get a payoff and then the financing kind of dried up and they were unable to execute it or exit and get a payoff at the – based on the term of the original maturity date of the loan. So in those cases, pretty much all of them were maturity defaults where the interest reserve has been fully depleted and they were unable to get payoff financing that they were expecting to get and directly impacted by COVID-19. So we're working with those borrowers, to Jeff's comments in his remarks earlier, we're trying to find ways for the best economic outcome for the company and working with our borrowers to keep them in the loan. But yes, the overwhelming majority is timing – delays in timing.
Tim Hayes: Right. Okay. And just picking on kind of that last comment there, where these – did you consider giving these borrowers forbearance that I guess technically would keep them out of default? And is that part of the reason why some of these loans have kind of resolved themselves or where they able to come up with the cash to start accruing again? And then just, I guess broadly like how many of your borrowers have requested some level of forbearance?
Jeff Pyatt: David, do you want to keep going or me to fill in?
David Schneider: Yes, I'll keep going then. And you can jump in. Yes, some of them did get forbearance opportunities. Others, it didn't make sense to do any forbearance and it – and again, I think, I think the point we want to hit home here is that being in a default status for Broadmark is not necessary, but the worst, it's not a bad outcome for us and not necessarily for the borrower. Sometimes, it incentivizes them to get the cash together and make a payment, get out of default status and become cured. So yes, we worked with every individual borrower. Some didn’t end up in default, some did end up in default status and we're going to continue to work with them to come out with a best economic outcome through our some sort of shareholders.
Jeff Pyatt: In each of these loans is unique and each of the borrower that we think so. We really take them on a case-by-case basis as supposed to making blanket policies around those kinds of things.
Tim Hayes: And can you maybe touch on some of the measures you've used to grant forbearance so far?
Jeff Pyatt: Well, so remember that, that we draw a bright line in the 65% loan to value ratio. And so if we believe that our loan is over that then that's a default whether regardless of everything else. And so if we were to look at a project and say this given the market is now in the 67% loan to value ratio, we can really do much there except put the loan into default. If a municipality has slowed the project way down or if this whole environment is slowing the project down. We will look at it. But most of our loans are performing and so forbearance, I worry when we use a term like that, that it gets lumped into the article we’re reading about people's mortgages are going into forbearance and we are just a different business.
Tim Hayes: Right. Okay. Thanks for that Jeff. And then I know that you guys said that some loans have resolved themselves. Some have fallen into default since quarter end. Can we just get an update of where you're at as of today or where the end of April?
David Schneider: Yes. We're not going to disclose the numbers on the call. But I mean, there's definitely been an uptick. And there's – as we've mentioned, there's definitely been some loans have rolled off. I think the most important thing to focus on is for the loans in default and the new loans that we're constantly monitoring going into default status is not going to mean that there's a capital loss. It doesn't mean that it's a bad economic outcome for us. So we'll definitely, we're not immune to COVID-19. We'll definitely see an uptick. I'm sure we'll probably end up disclosing that at a later time. But I think the more important to that is, from a financial statements perspective, we've already been evaluating these loans for potential losses. We've kind of taken our medicine in terms of potential estimated losses, which we may not, ultimately not have a loss on. And then I think the more important thing is, I think we mentioned five out of 218 loans or five out of the 32 loans that were in default status. As of 231, with the whole bucket of the allowance, which means that the other 27, we expect positive outcomes and potentially it could pick up nice chunk of income in a future state. That's all driven by the accounting. You're going to have us take our losses upfront and we also wait and see on the exit of these other loans.
Tim Hayes: And just my last one here and I'll hop back in the queue is, you mentioned the $7 million of estimated losses on that defaulted balance on those five loans, I believe. Can you just give a little bit more color on what those – what assumptions go into that estimate? Have you already decided on which of the projects you would look to take over and work out yourself and which ones you wouldn't? And just curious if you've already seen an uptake in REO so far this quarter?
David Schneider: We haven't, so as of 231, we're actually down to one REO property. We haven't foreclosed on any new properties. I mean there also probably wasn't a lot of foreclosure activity because the courts and everything were closed. But not expecting a big uptick in foreclosure. The way we evaluate our allowance is all of our loans are collateral dependent. So we're kind of assuming whether the business strategy is to take over the project or not for purposes of accounting, we're basically assuming that we're going to take over the property.  We're looking at the underlying collateral the appraised value as complete and the estimated costs that it's going to take us to get it complete. And then we were looking at appraisals for what we're going to exit at. And we're basically comparing that to our investment in a loan, which is – the reason why we feel comfortable, right. It's – this goes back to that 65% LTV. Most of these loans we should be in a position where our recorded investment in the loan is going to be lower, significantly lower in certain cases than what we expect to exit at.
Tim Hayes: It makes sense. All right. That's it for me for now. I'm going to hop back in the queue. Thanks again and stay well.
David Schneider: Thank you. You too.
Operator: Our next question is from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Hi, good afternoon. Thanks for taking my questions. Jeff, as you're evaluating new investments, kind of how do you where – sticking to your three or four core regions where you've got a lot of local market expertise and a big track record and better relationships, I would think as opposed to allocating new capital kind of what are intended – the company's intended plan was prior to this to increased diversification into the Southeast and Mid-Atlantic. How do you think about that or do you really not, it's just a deal by deal or those historical target markets more attractive right now?
Jeff Pyatt: Stephen, hi, nice talking to you, by the way. We like the four regions that we're in. We know them as you pointed out, we know the states, we know the markets and the sub-markets within those states. And so as we look at anything, if it strays very far from the business that we are doing, we're probably not going to be very interested in it. We have an awful lot of opportunity ahead of us. The capital that we have is precious and we want to use it carefully and wisely. And so, I think we're going to – our initial inclination is just to stay in our own backyards where we know it.
Stephen Laws: Yes, makes sense. But I would touch on that is I think about your geographic mix changing or staying the same. Thinking same bigger picture with the recent events, from your feedback with your borrowers and what you're seeing as far as your pipeline and new opportunities. Are you seeing a significant mix of people wanting to do more, whether it be duplexes or more single-family rental type things as opposed to the more concentrated multifamily apartments, micro housing, this isolation or revaluing how we look at space. How has that changed in your pipeline and your thoughts on the loan fuel originate going forward?
Jeff Pyatt: That is a great question. We haven't – and I don't think the snapshot that we're seeing right now would necessarily be reflected. But our single family borrowers continue to have single family projects. As you know, there is a great imbalance still between demand for single family housing and the supply of housing. And so there's real opportunity for our single family builders. Our multifamily builders continue to see opportunities again in the markets that we see those in, there is a shortage of apartments. And so, as this all unfolds in real time, who knows where that market goes. But as of right now, there's plenty in both the apartment space and the single family space.
Stephen Laws: Great. I appreciate the color and we look forward to monitoring that your comments going forward as we get more information. Thinking about any borrower concentration risk in the portfolio, I know its 218 loans. We've got a pretty small average loan size. But are there any single borrowers that have five or seven or 10 loans? Any borrower concentration we need to be aware of?
Jeff Pyatt: I think our largest borrower, and David, correct me if I'm wrong, but it's about 5% of our portfolio in a long-term high quality borrower. But we certainly keep track of those concentrations.
David Schneider: Sorry, we had two loans with one borrower that’s 6%, so just about 5%, little over 5%.
Stephen Laws: Great, that's helpful. I appreciate that. And lastly on the private REIT, I know it just launched in difficult market environment to launch something like that. How do we think about fundraising there? Is it $5 million a month? Is it $10 million a month? I mean, how do we think about that or do we really think about it more on hold until we get some kind of stability in the market conditions here?
Jeff Pyatt: I put it somewhere in between there. It is certainly not on hold. We are continuing to raise money and continuing to have success raising money. You can imagine April was top, May has improved. We kind of started with a bang in March. But I think as people – we all get through this COVID-19, either get more comfortable whether we do, people are continuing to look for high quality, safe places to invest with good returns. And for those people looking for private option, I think our private REIT is a good opportunity for them. And so we're still quite optimistic about it.
Stephen Laws: Great. And then lastly, I guess maybe David, on modifications for best. Are you guys – do you charge a modification fee when you extend? If so, is that also amortized or is it really look more is that's part of asset management and leads to recurring business? How do we think about whether or not you're charging fees and how to realize – recognize those in the model for modifications and extensions?
David Schneider: Yes, yes. So we do charge an extension fee. When you took extension, it's treated in the same way as an origination fee. So it's going to be deferred and accreted into income over the life. Obviously, they're generally shorter terms. It's not going to be tested over 12 months. It's usually going to be a one month or three-month extension, sometimes a six-month extension. But it will be treated in the same way as we’re treating the origination fees for accounting.
Stephen Laws: Okay. And that is all cash fee, right? You're not taking pic or any kind of equity in the transaction.
David Schneider: Yes.
Stephen Laws: Okay, great. Thanks a lot for taking my questions. Jeff, David, I appreciate the comments tonight.
David Schneider: Thanks, Stephen.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Jeff Pyatt: I just want to say thank you to all of you for being our investors. Most importantly, I want to wish you all good health and safety. And I look forward to having this all behind us. And I'm grateful that we are positioned the way we are. I'd like to remind you that when we set this company up almost 10 years ago, it was coming out of the Great Recession and we put together an architecture that would allow us to have to weather a storm. And we are doing well and I look forward to talking to all of you in the quarter. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.